Operator: Good morning, everyone. My name is Dennis, and I will be your operator today. Welcome to the Sigma Lithium First Quarter 2024 Earnings Conference Call. Today's call is being recorded and is broadcast live on Sigma's website. On the call today is the company's CEO, Ana Cabral-Gardner; and company Executive Vice President, Matthew DeYoe. We will now turn the call over to Matthew DeYoe. 
Matthew DeYoe: Thank you, Dennis. Good morning, everyone. Thank you for joining us on our first quarter 2024 earnings conference call. On the call with me today is company's CEO, Ana Cabral. This morning, before market open, we published our 1Q earnings release and posted our financial results, which would be available through SEDAR and SEC. Before we begin, I'd like to cover 2 items. First, during the presentation, you'll hear certain forward-looking statements concerning our plans and expectations. We note that actual events or results could differ materially from changes in market conditions in our operations. Additionally, earnings referenced in this presentation may exclude certain noncore and nonrecurring items. Reconciliations to the most comparable IFRS financial measures and other associated disclosures, including descriptions of adjustments can be found in the back of the release. With that, I'll pass it over to Ana. Ana? 
Ana Cabral Gardner: Thank you, Matt. Good morning, everyone. We're delighted to present you with our first quarter 2024 results. And without further ado, I encourage you to go to the following page. We are extremely enthusiastic about our prospects as we have been advancing towards key catalysts of our plan to double production capacity by 2025. The 4 key deliveries of this quarter were: first, the delivery of an increased premium pricing where we achieved a fixed floating formula of 9% of the London Metals Exchange lithium equivalent, basically reaching a $1,290 pricing. That represented an 11% increase to the April 24 realized pricing. The numbers we released for the first quarter of 2024. So, that clearly demonstrates that the pricing trend is upwards, an 11% increase from previous months in an overall almost 30% increase from the average pricing of the previous quarter. The second catalyst is that we have been reaching our marks on achieving a low cost of production. We became the world's second lowest cost lithium concentrate producer this quarter, reporting the cost of $397 per ton.   So more importantly, we have also managed to increase the operating life of the company to 25 years. We increased mineral reserves by 40%, auditing 77 million tonnes, 43-101. We also made a final investment decision on a fully funded expansion to double production to 520,000 tonnes annually, equivalent to 70,000 tonnes LCE. So, on the next page, we demonstrate that we've been delivering our vision to combine this large-scale production with low cost and higher standards of environmental and social sustainability in lithium. These 3 elements are rarely achieved together. More often than not, scale and costs are achieved at the expense of traceability and environmental high standards. Alternatively, scale and traceability and environmental and social high standards are achieved at the expense of delivering a resilient business, maintaining lowest production costs. So here we are delivering on all the 3 rather paradoxically front.   The next slide illustrates one of our key deliveries for the quarter, demonstrating how we became the 4th largest producing lithium industrial mineral complex globally. So, Sigma now is the first non-Australian in the top 5. We're trailing behind Greenbushes, Pilbara, and Wodgina. Grota do Cirilo is now at 4.8 million tons of LCE equivalent with a very high grade average at 1.4%. And that's the result of a very well catenate exploration, development and visibility of deliveries achieved over the last 12 months. In this quarter, we delivered visibility, and therefore, we declared mineral reserves of 77 million tonnes, which were increased in 40%, is a significant milestone. Why is that? Because it lengthens the life of the project to 25 years. And therefore, as we expand to double capacity, we now have an operation that is sustained for 25 years. That is a moving target. In other words, as we move forward with our expansion plans, we will continue to unlock and transform the mineral resources we have into mineral reserves backing up a similar duration in operational life.   Therefore, with this mineral resource work executed. We demonstrate that Sigma Lithium is not at all constrained by the scale, the sheer scale of the mineral resources available on its properties. And here, we just are demonstrating the mineral resources in one of our 4 properties. With that, I move forward to the following page, to Page 7, where we, again, deliver on the mathematics of our numbers. And we love mathematics because numbers don't really bring an opinion with them. In 2024, as we discussed, we are delivering on every operational target we set out for ourselves. Some of those were quite ambitious. And again, the numbers demonstrate the resilience and the longevity of our project, essentially combining scale, costs, and the highest global standards of environmental and social sustainability. We are sustaining nameplate capacity. We have been sustaining nameplate capacity since December 2023. In the first 10 months of production, we already reached 178,000 tons, which delight is all given our pioneering dry stacking circuit of the dense media separation industrial plant, the Greentech plant. In parallel, the highest premium and the highest quality that our product exhibits is translated into premium pricing. And we have been able to do that consistently.   The economics for our 9 shipment is, again, reaching our mark of capturing a 9% share of the value of the lithium hydroxide posted at the London Metals Exchange, which now is equivalent to $1,290 per tonne. That number is a fixed floating formula, and it will be adjusted by that lithium metal exchange price one month after the delivery. We were able to achieve that and in parallel to deliver on our very low marks -- on a very ambitious mark of a low cash cost at the plant. So, we got to $397 per tonne at industrial plant gain, which basically place us as the lowest cost producer amongst all lithium concentrate hard rock producers, all of our peers in Australia. So, we're demonstrating that despite not yet getting to that scale, we have the cost discipline to be at the second position, which makes us incredibly resilient to lithium cycle -- lithium cycles. So, we're here to stay. In the meantime, we've also maintained our liquidity, so our cash position in March 31, at the end of the quarter was USD 108 million. So, the Phase II, the second green plant construction that will deliver double capabilities is fully funded with cash at hand in the balance sheet, and we will continue to work on improving the capital structure to fund that construction.   But regardless, the funding is in a bank as we speak. So, we'll keep going with the construction project to meet our delivery time tables of around this time next year. We've been initiating the construction with earthworks engineering, design, the teams. We have our second construction team in place. So, we bifurcated our teams so that we ensure reliable, timely, and on-budget delivery of the second Greentech plant. And again, you will lead us to double capacity to approximately 70,000 tons of LCE equivalent or 520,000 tons of lithium concentrate. And lastly, we already talked about this. We delivered the longevity that will back up the operational life for 25 years with a 77 million tonne of proven and probable mineral reserves. And again, it's always very -- it makes us very proud to remind everyone that we're the only global producer that has achieved the zero-carbon very sought-after objective so that we're delivering lithium products aligned with the ethos of the electric car industry that we service. So, on the next page, I'll initiate this section, and then I'll hand over to my partner, Matthew DeYoe.  We want to again reiterate how resilient and how reliable and how consistent our business has been since we made our first shipment. We have reached scale during 2023. And we have been shipping like clockwork, 22,000 tonnes approximately of lithium concentrate materials every 35 days. More importantly, at the throat of the market, we actually initiated a premiumization drive they have been delivering these premium prices through auction/price discovery conversations with our customers. That demonstrates that we've been increasingly gaining commercial leverage as our clients try and experience the savings they can achieve with our product, which reached 20% to 30% over a competing product in the marketplace. And that translates in commercial leverage. So mathematically, we demonstrate that with a 25% increase from the realized prices in the first quarter. The page illustrates also in the 2 colors, in yellow color, what we believe to be the market benchmark and in the blue color, what we believe to be our own pricing benchmark. So, as you can see in the areas from the February, which is Lunar New Year drops of the industry onward, we've been able to premiumize 25% of prices. From last month alone, we were able to achieve an 11% price increase. So that's, again, a mathematical numeric demonstration of increased commercial leverage.   And it results in a partnership, in a win-win partnership with our clients, given that our product does bring the clients measurable chemical savings if compared to other available competing products in the marketplace. So, by no means is that win-lose game, it's just the flourishing of commercial partnerships with our clients. And at the chart, we also illustrate the translation of our prices into value capture of the lithium hydroxide as priced in the London Metals Exchange, where we've gone from 8.75% of it to 9% of the index. So, an increased value capture over the lithium hydroxide chemical. And again, in a mathematical demonstration of this partnership with clients that win as they acquire our products. Typically, the average premiumization would be achieved hovers around 10% over the similar competing products, which again, given that we bring 20% to 30% of cost savings to our clients it clearly demonstrates that the clients are still achieving a 20% to 10% savings. So clearly, a win-win relationship with our steam customers.   On the next page, it's interesting when we place costs in perspective. We're demonstrating that Sigma is one of the lowest-cost producers in the world. We clearly secured our position in a global supply chain. We have a low cost and traceable, sustainable product. And more interestingly, we show that this market hinges on a, let's say, fine balance given that the Trinity we discussed earlier is not always easily achieved by lithium producers. In other words, to combine low-cost sustainability and scale is actually the only thing that's rare in the lithium industry. In other words, exceptional execution. So that's what we've been able to deliver. And here in green, you can see Sigma as the second lowest cost producer. This is actually a benchmark minerals standard cost curve. And we're also highlighting in a brown the producers that sit on the traceability zone of producing countries. So, when you add up those players, this is a hard rock cost curve with the other brine source material from the traceability zone, you actually end up with just 900,000 tons of LCE equivalent projected for 2025. If you add up everyone in the low-cost traceability of quartile all the way up to the midpoint of the cost curve, you end up with 1 million tonnes of LCE.   Why am I making this point? If you please turn over to the next page, Page 11, you can clearly see that the lithium demand being robust and the supply of medium to low-cost sources being what it is in the previous page. And again, that's a benchmark mineral cost curve. If you look at '24 this year, we're hinging on a fine balance. I mean, these are demand estimates again from benchmark minerals. And when you look at '25, unless something miraculous happens, we're going to be reaching a slight tension point. What does that mean? It means something very simple; prices will have to move again upwards inching towards the higher production cost zone so that it brings forth the product from the higher-cost producers to meet the supply-demand equilibrium. So, the numbers on this page have to be observed in tandem with the numbers on the previous page, so that when we look at the gap, we can mathematically see why the gap has been covered or will be covered increasingly with high-cost product unless another Sigma pops up. And on that, it's important to note that if the 2030 projections or '27 projections are correct, and we do believe they are based on sheer EV growth in China alone, as you can see on the chart on the right.   The volume will need between 30 and 50 new segments that will have to pop up between now and 2030, which again demonstrates that on the low-cost, traceable, and large scale, there's clearly a shortage of operational companies. So, prices will eventually have to move to make feasible the high-cost traceability challenge of products on the right end of the cost curve that we saw on the previous page. And with that, I will move to the next section, and I'll pass over to Matthew, my partner here, so that he can discuss some of our financial first quarter '24 earnings highlights. 
Matthew DeYoe: Thank you, Ana. So, in the first quarter, the company sold 52,857 tons of lithium concentrate, which composed of 2 full shipments and a partial sale of warehouse inventory to Glencore towards the end of the quarter. Production totaled just over 54,000 tons. Reported revenue in the quarter totaled $37.2 million, which included a $12 million impact from provisional adjustments associated with prior shipments, particularly our November shipment. This reduction or this is a reduction versus the $30 million we experienced in 4Q. The company assesses revenue for business conducted during the first quarter at $49 million. And against our volumes, that would imply a realized price for business again conducted in the first quarter of $930 a ton. Operating cash cost per ton at plant gate of $462 a ton, down about 16% sequentially and delivers a 50% FOB margin against that $930 per ton price.   Reported adjusted EBITDA of $6 million drives a margin of nearly 16%. Though again, we assess EBITDA for business conducted in 1Q, and that's excluding the provisional implications at about $17 million, which reflects an EBITDA margin closer to 35%. Importantly, as we want to note, as prices rallied during the first quarter, the implications of these provisional adjustments subsided. And given our fixed shipment in April and the material correction we've seen in market prices; these adjustments should be immaterial going forward. I want to move, I guess, to our cost bridge. We believe our guided targets are very much in reach. Importantly, as well as we're moving past much of the noise associated with commissioning activity is really helping us deliver a much cleaner quarter and a cleaner look into the company's advantaged cost structure. Cash cost per ton, as Anna had mentioned earlier, was $397 for the first quarter, which drives an FOB cost at Vitoria of $62. Differential here to COGS represents only royalties, noncash D&A, and a small stocking effect associated with production of concentrate in 1Q that we'll sell in the second quarter. As we said, though, guidance is clearly within reach. Recall from our earlier conversations, the company expects to have $370 a ton plant gate and 420 FOB Vitoria during the second quarter for the 3Q. Absolute dollar costs are already there. As you can see, the main hindrance for achieving these numbers in 1Q was production as a normalization for cost base for 4Q production will lead plant gate costs of $359 in the first quarter.   Production improved through the course of the first quarter, leaving us confident again that we can hit these targets, which would put us comfortably, although we already are at the second lowest cost hard rock project in the world at least that we know of. Next, I'll move to our cash balance. So as Ana had mentioned, we ended 1Q at $108 million, which primarily reflects the cash gained from trade finance and trade facilities, partially offset by an annual interest payment and a modest build in working capital. Operations proved to be neutral to our earnings formula as revenues were offset by a partial adjustment in operating costs. Going forward, as we had mentioned, as prices improve, we should move past provisional headwinds, and we should begin to accrue substantial amounts of free cash. The next slide points to what we believe to be the cash flow potential on the recurring basis. The model or the column at current price or $11.60 reflects broadly the current market, while the costs are our targets, though as stated above within reach. This is an explicit cash flow guidance for this year as the numbers just portray at capacity and don't reflect perhaps the realities of 1Q, but it gives a good idea of the potential of the company on a go-forward basis. And as you can see, we are comfortably above the $100 million required to fund our expansions. So, with that, I'll pass it back to Ana. 
Ana Cabral Gardner: So, going to -- straight to the point where Matt left off of doubling production capacity. Again, we show the drone aerial picture of the simplicity of that project. And you can clearly see in the back the expansion area highlighted in red, where we already have the truck maintenance patio installed. It's an area without vegetation. It's pretty -- it's basically former pasture areas. So, very straightforward, perpendicular to the elevation of the terrain, perfect for the installation of our ROM pad that will feed a second Greentech production plant. That second line trend will be equivalent to the one highlighted in yellow, and it will be sustained by the existing infrastructure in green, which also could sustain a third Greentech line expansion, which we do plan to execute the moment we commission the second Greentech plant. So, infrastructure, which costs almost $40 million, $45 million is no longer necessary because it sustains 2 additional Greentech plant expansions. So, with that, we again would like to reiterate that the cash to build it is at hand.   We've been able to secure a robust and resilient trade lines as a result of our consistent, resilient performance of production, shipping, delivery, and customer acceptance of our product throughout the first 10 months of operation. So that reliability gives us access to green line mandatory funding. It's called ACEs in Brazil, advancements on export contract, which are the main source of funding for this construction at the moment. It's cash sitting in our treasury right now. We will continue to work to improve the capital structure for the construction of the project. And we have a very interesting plans to tap that capital markets -- that low markets throughout the course of the next few months. But without it or irrespectively of it, or irrespectively of any additional source of financing, we are confident that we can carry on and execute our doubling of production capacity plans. And again, the commercial uptake is there. We could be selling far more boats if we had the material to deliver. So ultimately, we're sitting in a very comfortable position in the industry now. So, our objective is to continue to bank on the comfort of our business position in the global IT industry at the moment.   So here, the following page just shows, again, the only thing that's rare in the lithium industry, which is exceptional execution. So, we're going to do it again. We've already done the licensing of the industrial plan. We've achieved the initial financing through securing of the trade lines. We completed the engineering FEL3 CapEx quoting throughout the course of the last year essentially. We've been working at this for actually more than 12 months as of now. We actually are comfortable with the capital structure we have. We're going to work to improve it and finance it. But again, an average 9.3% cost for trade lines, that's a pretty reasonable cost. Considering the returns we will achieve out of volumes and production on a cash generation basis. And so, with that confidence and with the confidence in the execution ability and execution prowess of our team, our Board of Directors cleared and gave us the final approval and final investment decision for the construction of Phase 2 in the quarter. With that, I go on to the next page. So, passing on to Matt. 
Matthew DeYoe: Yes. I mean again, from the perspective of the company, right, we have a unique track record of being able to build on time and on budget, and we're going to do that again. So as Ana had mentioned, April 1, Sigma's Board of Directors issued the Phase II FID. As we said, the CapEx budget is only about $100 million to add 250,000 metric tons, which is enough lithium equivalent for about 850,000 EVs. EPCM teams are finishing earthworks engineering and mobilization is ongoing. And Phase II flow sheet importantly follows Phase I. The goal is to reduce risks as much as possible as we go through this process. The local EPCM team is the same. The parts design team is the same. But we're going through Phase II with the knowledge and experiences gained through Phase 1, which should mean a faster ramp and a faster path to free cash flow as we move forward. This is just in a higher-level path to where we're going. And as Ana mentioned, there's a third phase coming on the back end, which is already supported through the infrastructure. 
Ana Cabral Gardner: Yes. So here is kind of the whole picture, right? This is the industrial plan we submitted to our development bank and to our investors earlier in the year. And that kind of shows graphically where we are and where we had it, and how disciplined we have been in adding production capacity based essentially on the one element in short supply, our ability to execute on time and on budget and comfortably, because we're maintaining our operations at the highest standards of performance, we set out for ourselves. So, we got here in '23 what we've delivered over the last 12 months. So, '23 today, actually is 175,000 tonnes produced, so that goes over to now. Then we have that cash flow to propel us and to give us a base. That's our safety net, let's put it that way. And then if you annualize '24 from now, we would have 270,000 tonnes of production, and again, furthering that safety net of cash generation. So, we're building double capacity -- approximately double capacity, another Greentech line at 250,000 tonnes. So, we're in construction of what equates to 35,000 tonnes LCE. And then again, we're going to do the third line, as I showed you earlier, with the drone pictures that's supported by the existing infrastructure that will get us to another 250,000 tons.   So, you get us to 770,000 tonnes of annual capacity. So approximately what we call the magic number of 100,000 tons of LCE a year. Gentlemen and ladies, there are very few companies that can actually deliver and operate at these levels and they are called the super majors. And with our careful, conservative, and disciplined execution, we plan to get there most likely at the beginning of 2026 with 3 Greentech production lines, and we are already on the way with the ongoing earthworks construction for the second one. One point that's important, if warranted, and again, it will be a function of the premiumization, we do have plans to, in 2026, potentially building an integrated intermediate chemicals line connected to the third line. And again, that is already in the works with being scouting locations for a potential setting of this industrial plant. Given that, as we like to say in our industry, 2026 is literally around the corner in the metals industrial industry time, 18 months away. So, with that, I go on to the closing remarks.   I mean, essentially, the future has arrived. I mean, Sigma is the sixth largest producer globally. We are on the way to become the fourth as soon as we conclude the construction of the second Greentech plant. We have the same team, the same execution, the same engineers, even the same suppliers. That's how conservative we have been. So, the one unfortunate thing that hasn't happened is that we have not repriced from developer to producer, but we believe that with our resilience and with the cadence and the continued successful execution, that shall happen in due course. So, and clearly, you can see on this slide, an illustration of the disconnect between Sigma and its peer producers. The following page illustrates that further using fractions, which is a very clear way of prorating valuation to production. So, if we were to do that exercise comparing to an Americas player or an Australian player, we would end up a similar disconnect asymmetrical results.   So, this is an exercise that just shows why are we so steadfast on delivering cadence execution, consistent execution throughout the year because we do plan to close that gap with mathematical deliveries. And again, it's just a fraction prorating of our current market cap with the market cap of players in the Americas or players in Australia vis-a-vis the production they actually deliver currently today. Our production, for instance, if compared to a player in the Americas is essentially a 1/5. However, our market cap is 1/5 of theirs. If you were over to the west, to the east, to Australia, our production is half of a very large player in Australia, but our market cap is a lot less than half. It's almost 1/4 of their market cap, which again demonstrates such disconnect. And with that, I'll close.   And again, with the key valuation benchmarks that we have already delivered. And again, outlining the targets that we set out for ourselves, which are actually quite ambitious. I mean, first, we are planning to achieve the cost guidance we set out for ourselves. We are already the industry's second lowest cost player, and we do plan to stay that way. However, we have a few more dollars of costs to shave from our C1 plant cash costs. And we're planning to march towards that further cost savings as we reach an operational cadence, reaching a year of operations. I mean, again, it's actually important to remind everyone that this is to our first year. So technically, we should have given ourselves some margin for commissioning, but we haven't because the lithium pricing environment didn't allow us to have any margin of errors. So, we set out to meet the ambitious low-cost targets almost out of the gate. And here we are. The next milestone will be to commission the second Greentech production line, and we're already up with earthworks construction engineering underway.   So, we do believe that we're going to meet the same exact construction milestones as last time. We have the same team. Similar leadership, engineers, the same. Everyone is basically the same, as I said earlier, not even suppliers were risking to change. That's how conservative we are. So, it's basically a repeat of what we've done before, one line at a time. So, this is on the left, how much we deliver. And you can see for yourselves. I mean, we deliver 0 carbon. We expanded the resource to -- estimated resource to 150 million tons. And we drawn from that resource into proven and probable 2P reserves, which would just increase on visibility up to 77 million tonnes expanded in 40%. We've been delivering consistent monthly shipments of around 22,000 tonnes every 35 days. We mobilized Phase II, delivered the final investment decision on Phase 2, began construction. So again, we set up a target, we focus execution and we deliver, which, as I will reiterate again to close, is the one thing that scars in this industry. Superb execution, superb Brazilians, as it has been demonstrated by our team, which faced market headwinds in our first year of operations and came out the industry second lowest cost producer and sixth largest -- second lowest cost, sixth largest producer. And thank you, everyone, for your trust. Thank you, everyone, for your confidence in us. And with that, I close our first quarter '24 earnings presentation. And we'll take questions. 
Matthew DeYoe: Yes. Thank you, Dennis. If you can move now to Q&A, that would be great. 
Operator: [Operator Instructions]. Your first question is from the line of Rob Hoffman with Bank of America. 
Robert Hoffman: Just wondering, can you provide the latest regarding the strategic review? And is that currently on pause? 
Ana Cabral Gardner: Yes, it is. We've been publicly reiterated, that's on pause. And again, the reasons are quite clear. I mean, there's a symmetrical disconnect between what we believe our fair value should be. And we decided to -- given the strength and resilience of our operation that we will just continue to deliver. We have a fantastic business, and there's absolutely no pressure to conduct any review from our end. So, we will deliver on the targets we set out for ourselves, and probably emerge 2 years from now and decide what we were going to do for the next phase of growth. 
Robert Hoffman: Understood. And just to follow-up in regards to the LG press release regarding arbitration. Just wondering what the time line is on that and the updates on that process? 
Ana Cabral Gardner: Well, we have a very friendly relationship with the LG Group and with South Korea. And there are going to be more positive news on that end that we're going to publicize in due course. But what I can say as of now is that the commercial relationship actually couldn't be better with the LG Group as a whole, and that includes their trading arms, which was actually visiting our plant facilities at the time, another subsidiary of the group, initiated arbitration, and kind of made everyone rather dumbfounded. But again, that's being mandate. And we just want to reiterate how we have a fantastic relationship with both the government of South Korea and with LG Group as a whole. And we don't see any reason to worry about it. 
Matthew DeYoe: Dennis, if you want to move on to the next question? 
Operator: Of course. Your next question from the line of Mac Whale with Cormark Securities. 
MacMurray Whale: Congratulations on bringing the cost down quite handily. I was wondering, can you speak a little bit to -- I saw 2 big items in there versus Q4 in mining services and consumables. What's such a big decrease in those 2 items in particular? 
Matthew DeYoe: So, hey, Mac, on the consumables side, we got pretty effective in using our ferrosilicon and recycling that through the process. If you recall as well, we installed the magnetic separator in November. And part of that was on the tailing side of the equation and being able to improve our recyclability of ferrosilicon through our process. Also, some of these purchases may be a little bit lumpy, but we are getting better at optimizing and running the plant. So, that's going to explain a good portion of the consumable side. The decrease in the shared services, I'll have to double check. But look, as part of what we've said, we're removing a lot of on-site contractors and replacing them with domestic and local labor. So, as the roll-off happens, you're going to see perhaps an overall reduction in costs, but also a little bit of left pocket, right pocket as some of that stuff gets allocated and reallocated through our cost lines, if that makes any sense. 
MacMurray Whale: Yes. That's helpful. And then on the G&A, your various sort of underneath the operations line on the -- in some of your costs for G&A, in particular, was lower. Is that a good run rate now when you look at those line items going forward? 
Matthew DeYoe: Yes. Look, G&A is -- obviously, as we try to portray on our 4Q call, right? There's a ton of noise and clutter in the annual SG&A number, and we had a lot of confidence that would come down. To the extent the strategic review is paused, obviously, some more costs will come out of the business. But it's at a pretty good level, considerably lower than where we were. And again, some of these productivity initiatives that we've been taking take a little bit of time to move through the system. You can't shut off all costs at the end of the year. Some of that stuff bleeds. But the goal is to keep a very draconian approach on all costs. If you talked to me recently, what I say is I really love $1,200 a ton spodumene because we can generate cash and we can grow in this market, but it also keeps everybody honest on costs. And so, you should expect the same level of -- I can't use the word draconian, but intensive cost control internally at Sigma to continue to deliver on these numbers to the best we can. 
MacMurray Whale: And do you think this is -- as the environment for pricing improves, are we going to see -- like how will the provisional pricing situations change as we move through the year? 
Ana Cabral Gardner: I'll take that. Hey, Matt, it's Anna. The provisional pricing is, we believe, a commercial element of the past. And in our case, it doesn't really connect with as much with the market environment, but it's 100% connected to us basically beginning in the marketplace. A lot of what our clients experience of our product have been to what we call bulk samples, 100-ton, 200-ton samples. But this last 12 months was the first time they actually got to try full tonnages. And as it happened, the clients experienced the 20% to 30% cost savings, our product brought to them by themselves. So, they actually measured in their own refineries, the cost savings. So, that actually moved our commercial conversations to a completely different level because as we like to say, lithium prices globally, you're still in its infancy. It is as if copper concentrate nongame, and lithium prices for concentric would borrow from each. Like you would borrow purity from copper concentrate and you would borrow lump size from iron ore. And we don't -- we weren't seeing any of it in our high-purity course, lumpy product.   So, we believe that as the clients experience the product and saw for themselves, the cost savings we brought to the refineries, they will be more amenable to a nonprovisional and final price conversations. And we demonstrated that first with the fixed pricing that we delivered last month. It was fixed and final, just like the great players in the industry like ALB and others. And then we now, this month, we moved to what we call the best place, the holy grayer of pricing, which is the fixed floating formula, where we work with our clients. That's how we say it's a partnership. We're not fixing their expense. We're floating to their quote, which is hydroxide LME, but we're fixing our value capture to their quotes. So, we're being friendly with the industry because it floats with them. So, we're not squeezing anyone's margins, but we're capturing what we believe to be our premiumization in those prices. And that's how we would like to stay throughout the year. 
Matthew DeYoe: I'd say, Mac, I think the last thing, right, it's a little switch, right? April was locked in firm price. May, we have the firm 9% lock. But on the floating, look, we're fairly confident we're towards the bottom end of the cycle here on price. So, we want to retain some of the optionality of that as the cycle improves over time. And so, locking the commitment on the 9%, but keeping some optionality on the cycle, and that's, we're a low-cost producer, and you're investing in a lithium company. We want to give everybody and everybody should have the economics on the upside. So that's all. 
Ana Cabral Gardner: Exactly. This is essentially the core building the customer partnership, which, again, you look at the copper concentrate industry, the iron ore industry, that's how this industry has evolved into the premium pricing. And so, we believe in partnership with our customers, and this is exactly what we're doing. 
Matthew DeYoe: Thank you. Yes, Dennis, if you want to re-prompt, but otherwise, we can close it down. 
Operator: [Operator Instructions]. And at this time, you may continue with closing remarks. 
Matthew DeYoe: So, I'll just leave it there. Thank you, everyone, for joining our call. We look forward to updating you as shipments and the company progresses through our 2Q bill, and we look forward to reengaging on 2Q earnings. So, enjoy the rest of your day. Thank you. 
Ana Cabral Gardner: Thank you. Thank you, everyone.